Jeff Borcherding: Good morning, everyone. This is Jeff Borcherding. Thank you very much for joining the call this morning. We are excited to speak with you about the fourth quarter for 2025 and what lies ahead as we continue to build on the success of the PancreaSure launch and prepare for securing reimbursement and continuing to drive the success of this product as we move to achieve our mission of changing the way we detect cancer in pancreatic cancer and making a significant difference in people's lives. For our agenda today, we will do a brief review of 2025. We'll go into more detail about the PancreaSure commercial results in the fourth quarter of the year. We'll then talk about our progress towards reimbursement with a special focus on the clinical studies that lie ahead as well as the steps that we've already accomplished. And then finally, I'll turn it over to my colleague, Adam Backstrom, to discuss the Q4 financial results and our cash position. In 2025, more than 2 years of development and clinical research culminated in the commercial launch of PancreaSure. And as we look back on 2025, there are a number of things that we're proud of as a company, but here are some of the highlights. Certainly, at the top of the list has to be the commercial launch of the PancreaSure test. A couple of years ago, we made the difficult decision to remove our IMMray PanCan-d test from the market and bring to the market a better test that could detect cancers earlier, could do it with a greater level of sensitivity and specificity, particularly for those people who don't secrete CA19-9. We also wanted to make sure that we had a much more robust set of clinical data supporting the PancreaSure test. And I think we clearly saw that in 2025 when you look at the scientific dissemination that happened about the PancreaSure test. We had 5 clinical studies that were published in scientific journals. The CLARITI study was named the best of DDW at the Digestive Disease Week Conference, which is the world's largest gastroenterology conference. At these scientific meetings that we attended last year, our data was selected for prestigious podium presentations at 5 of those meetings. And in order to continue to fund that research in order to fund the launch of the test, we were also pleased to raise over SEK 140 million to support that launch, to support those clinical studies and to take us to the next critical milestones in our launch. We also received strong support in addition to that support from the scientific community, we received strong support from multiple advocacy groups within the pancreatic cancer space. And then as we'll talk about a little bit later, we were able to secure a lucrative reimbursement rate of USD 897 from the Centers for Medicare and Medicaid Services. And we'll talk about why that's so important in just a moment. But first, let's dive deeper into the PancreaSure commercial results. Before we do that, I would just like to remind everyone what is our strategy for launching the test. So here, you see the 4 key pillars of that strategy. Perhaps most important is the idea of starting at the top. We want to build advocacy in use among the key opinion leaders, the experts in this field who practice at the top high-risk surveillance centers in the United States. As we progress through the launch, we want to make sure that we are being disciplined financially and that means that we tie our investment to revenue. We know that meaningful revenue will not come immediately at launch. As a result, we want to execute a very targeted, very cost-effective launch that leverages our current resources and our strengths. And then we can increase that investment in commercialization as the reimbursement grows, as we have revenue to fund that investment. We've talked previously about the fact that finding a commercialization partner is going to be a critical aspect of launching and commercializing the PancreaSure test. Our goal is to demonstrate to a commercial partner that we have enthusiasm in the market. This is a test that physicians want. This is a test that patients are asking for. And as we build that commercial revenue, we want to make sure that we're showing them how it is that we will get reimbursement for the test in order to secure a really strong commercial partner. And then finally, we want to run very efficient and very lean in order to preserve our cash, make sure that we are very operationally efficient and that we automate as much as possible and that we're very scalable so that as our volumes increase, our costs don't increase along with them. Focusing in on the first phase of the launch, I mentioned that our goal here is really about driving targeted advocacy. This phase of the launch started with the launch of the test in September of 2025 and it will continue through the second quarter of 2026. During this targeted advocacy phase, we are really focused on the key opinion leaders in top high-risk surveillance centers in the United States where people are being screened for pancreatic cancer. During the early stages of the launch, we did not have a separate sales team. All of the results that you saw in September as well as the results in Q4 are the result of selling by members of our existing management team. As we move into 2026, I'm excited to share that we have now hired 3 strategic account managers who will be covering the country and bolstering our sales efforts. The last thing that I want to touch on as we think about this first phase of the launch is what are the metrics that we are saying are really critical. And most importantly, it is the number of high-risk surveillance centers that are ordering PancreaSure. Why is that the right metric? Well, for a few reasons. Number one, because it's all about driving expert advocacy at these centers. This is where a lot of high-risk surveillance is taking place. These are the experts that are relied upon by physicians who are doing high-risk surveillance. We want to have a strong presence there, and we want those physicians to be using the test. Second, this focus allows us to be consistent with our goal of being very focused on the most important targets that we have commercially so that we can limit our investment and limit our spending. And then finally, you see that a secondary metric is the number of orders. We want to make sure that these centers are getting enough experience with PancreaSure and generating enough usage of the test that they really get a sense for how the test is used. That volume number becomes important, especially as we get to the second quarter of 2026. So as we're in the early stages of this targeted advocacy phase as we close out 2025, we're really very focused on the number of centers that are agreeing to implement the test and those centers that are ordering. This stage will set the scene for what we do later in 2026, where we'll have more focus on building volume as we begin to ramp up volume in anticipation of the revenue phase and the revenue phase really begins in 2027. It's not to say that we won't generate some revenue before that. We will, and we'll talk about that in just a moment. But our real focus is on setting the stage for making sure that once that revenue stage starts in early 2027, that we are in a position to really maximize the revenue. But between now and then, we're limiting our investments so that we stay disciplined and use the cash that we have very efficiently and very effectively. These are some of the centers that have agreed to use the pancreatic -- PancreaSure test and are now using it within their pancreatic cancer surveillance programs. This quarter, you can see we added 4 new centers. And I'll just talk a little bit about each of those centers and why they wanted to use the PancreaSure test. So first is Beth Israel Deaconess Medical Center. This is a Harvard-affiliated hospital in Boston, Massachusetts, and their desire for the PancreaSure test was really driven by the fact that they very often get patients asking them about a blood test for pancreatic cancer. As you know, today, people who are in surveillance are generally using imaging. So that might be an MRI, it might be a CT scan. It could be an endoscopic ultrasound. These imaging techniques are relatively accurate but they are very inconvenient. They're quite expensive. And so Beth-Israel's patients are very interested in a blood test, and they were excited to implement PancreaSure to address that desire from their patients. With NYU, New York University Langone Health, their goals are a little bit different. NYU covers a very large area in New York and many of their patients have a difficult time getting to NYU facilities and locations. As a result of that, imaging-based surveillance creates gaps. There are people who just simply can't get to a facility. Maybe they don't have transportation, maybe they don't have someone that can drive them there. And so they are eager to implement the PancreaSure test and have started implementing the test in order to address those access issues. And then finally, Prisma Health in the Southeastern part of the United States. Unlike Beth-Israel and NYU, Prisma is a private health system. It's not an academic medical center, but it is one of the leading facilities in the area. And it's important to them that they communicate to their patients that they are on the cutting edge that they are doing everything for their patients that their patients might expect from a top-tier academic medical center. So for them, a new innovation like the PancreaSure test is a really attractive addition to their high-risk surveillance program. On the rest of the slide, you can see those organizations that previously had agreed to use the test. And I'm happy to say that adoption is going well at these centers. I mentioned in our Q4 report, UC Health at the University of Colorado has done significantly more than 100 tests at this point. And we've also got high order numbers from facilities like Northwestern Medicine and Honor Health, where they have gone through that process of figuring out how to implement the PancreaSure test and how to use it within their existing high-risk surveillance program. As we look forward into 2026, I'm very excited about the pipeline of additional centers that we have who are looking at and evaluating the PancreaSure test. If you look at this funnel, this is essentially how we view prospects within the company as we're thinking about moving them through the process from an initial conversation to the point where that center is up and running and they're regularly using the PancreaSure test every week as part of their surveillance program. So as you can see at the bottom, we have 6 centers that are regularly using the test. These centers have figured out how to incorporate it into their existing protocols, and they are using it extensively. We have another 6 sites where they have begun using the test but they're still figuring out exactly what their testing process will look like, how they'll use the test in conjunction with imaging and which patients within their program are the most appropriate as they start to use the test. The stage before that is registration. And essentially, what registration means is that these 8 facilities have said, yes, we are excited about PancreaSure. We plan to implement the test and we are ready to do so. So registration is essentially just the simple process that we go through to make sure that they can access our online ordering portal that they understand the logistics of how to test. We work with them on making sure they are clear on things like how to collect the blood, how to ship it to us. And so that registration process then very quickly leads to trial. We also have 9 late-stage prospects as of the end of the year in 2025. These are groups that have shown strong interest in the test based on initial conversations, and we are about ready to talk with them about how to implement the test and what that looks like. And then in addition, we've got the early-stage prospects. These are people where we've had at least one sales conversation. But oftentimes, what happens is as facilities are moving through this process, as you can imagine, there are a number of different people that we need to speak with. And so in that early stage, often what we're doing is having multiple meetings with different people within the high-risk surveillance center who would be involved in using and implementing the test. This is what the pipeline looked like as of the end of December. I'm very happy to share that these numbers have all grown meaningfully in the several weeks since the end of 2025. And I think that says good things for what our results will be in the first quarter. As we think about the first quarter of 2026 and into the second quarter, we see 3 key drivers of commercial success in the first half of the year. Most important is the sales staffing that we've added. I mentioned earlier that up to now, all of the selling has been done by a couple of members of the management team and I. Going forward, we will be bolstered by 3 full-time strategic account managers. These individuals bring fantastic experience from companies like Exact Sciences, which has the Cologuard test, Quest Diagnostics, Myriad Genetics and other top diagnostics companies. Once these reps are up to speed and on board and they're very quickly ramping up, we're going to have them focused on 4 key things: one is adding new prospects to the pipeline. They'll do that through their existing network and by reaching out to new prospects. The second is moving prospects through the sales pipeline faster. We just talked about the various steps on the prior slide. With the new account managers being on Board, I'm optimistic we can move prospects through that funnel more quickly. The third thing that they will be doing is working with the teams at our client centers to integrate PancreaSure into their existing protocols. And as they do that, that leads to their fourth focus area, which is really engaging the cross-functional team within these surveillance centers. Previously, when we were only selling through the management team of Immunovia, our capacity was limited. And what that meant is that we generally would connect primarily with the overall leader of the surveillance program, that physician expert that is driving the overall strategy and thinking for the program. Bringing the strategic account managers on Board allows us to develop relationships throughout those teams. So relationships with people like the nurses, the genetic counselors who are having conversations with people that have those genetic risk factors. Staff people who can do things like placing orders for the test in the online portal or flagging potential patients who should be given the PancreaSure test. So by building out their reach within the team, we can drive greater volume. So through those 4 activities, I think the sales and strategic account managers are going to make an enormous difference for us. Also driving results in the first half of 2026 will be the California state approval that we received in January as well as the New York State approval, which we hope to receive in the next several weeks. So if you look at California, it is an incredibly rich area for pancreatic cancer surveillance. We already have 8 high-risk surveillance centers that are in our pipeline, and we look forward to sharing news in the coming weeks about those centers adopting the test. In New York, New York is a hub of academic medical centers. We talked about one of them earlier, which is New York University, which is using our test on a pilot basis even before approval. But the approval in New York State will unlock significant potential there as well. We have had the auditor from New York State come and inspect our lab. That inspection went very well. They had only 4 minor findings. We've already addressed those findings and implemented changes to make sure that we comply with all of their requests. And so we are now waiting for the final approval from New York State. So collectively, these 3 things should help drive commercial use in the first half of the year. Transitioning then to reimbursement and the clinical studies to support them. If you think about getting reimbursement, there are key elements to making sure that we can get fully reimbursed for our test. One is getting a code in place that can be used to bill for the test. The second is getting the price of the test approved through the government. And then the third is getting coverage. Coverage essentially means that those payers determine that a test is reasonably and medically necessary for the patients in their programs. You can see by the colored circles here that we have already obtained a code that we can use to build a test. We also have secured a very attractive rate of $897 for the PancreaSure test. What that means is that when Medicare, the U.S. government insurer that pays for all health expenses for people over age 65, once they do make a coverage decision, those tests will be reimbursed at a very attractive rate of almost USD 900. Our final focus now is on coverage, essentially convincing payers that the test is medically necessary. And to do that, we have a variety of clinical studies that we've already completed and some that are coming. There are essentially 3 categories of clinical data that these payers look at. The first is analytical validation. Can you accurately measure the biomarkers in the test? We have very, very strong published data to support this. The second element of the clinical package is clinical validation, essentially, how accurate is the test in detecting cancer and avoiding false positives when cancer is not there. As we've shared previously, we have 3 clinical validation studies completed, and we have 2 of those published, the AFFIRM study, we hope to publish soon and we're pursuing additional publications in this area. The final area is clinical utility. Essentially, what this means is that the test is useful for guiding clinician decisions and for improving patient outcomes. We have 2 clinical utility studies that are underway, and we are conducting additional studies this year, and some of those studies will extend beyond 2026 and into the future. If you look at our reimbursement plans in 2026, this just gives you a quick view of what it is that we want to accomplish this year. So we are conducting several quick survey studies that will give us the preliminary evidence of clinical utility that we need to start applying and submitting for coverage. We're going to be initiating a registry study. And what that means is that this is a study where we will gather data on the people who are using the test commercially, as they are using the test, we'll use that to understand things like how it's impacting the decisions of those physicians and what the reaction of the patients using the test is to the PancreaSure test. One thing that we started doing after the end of quarter 4 was billing insurance companies for PancreaSure tests. Prior to that, we had only been collecting cash from the patients who get the test themselves. But this month, we started billing insurance companies. Without coverage decisions in place, we know that the reimbursement will be limited, but we will generate some limited cash. Importantly, we also will use this as a way to show those insurance companies that there's demand for the PancreaSure test. I mentioned earlier that a key part of our reimbursement plan in 2026 is to launch additional studies to prove clinical utility. And then finally, and probably most importantly, we plan to submit for Medicare coverage in mid-2026. So we are actively putting together now the package of clinical data and the summary of that data so that we're ready to submit that to the group that makes those decisions about coverage. With that, I'd like to hand it over to my colleague, Adam?Backstrom, our CFO, to talk through our Q4 financial results and the company's cash position.
Unknown Executive: Thank you, Jeff. So a short update about our financial figures for the fourth quarter. Jeff, will you [indiscernible] the slide once. Thank you very much. So when we look into our financial figures for the fourth quarter this year, we had revenue of SEK 354,000, which is mainly coming from royalty revenue. Last year, same period, we had royalty revenue of SEK 455,000. Based on the planned ramp-up and the time it takes to convert test orders into revenue, revenues from PancreaSure are expected to become more significantly meaningful after 2026, as Jeff has been describing before. During this quarter, our operating losses was SEK 16.4 million, which is significantly lower comparing to the same period last year, where the operating losses was SEK 30.1 million. The main reason for the stronger result this quarter compared to the same period last year is the lower cost, which is mainly attributed to the R&D cost reduction this quarter. While in the same time, last year, in the fourth quarter '24, we had relatively higher R&D expenses that we normally have. In addition to that, during 2025, we have worked hardly to reduce our cost base and carefully allocate our cash to the most business-driven prioritized, and we can now see that the result of this in the fourth quarter 2025. Our cash burn in the fourth quarter was SEK 6.6 million per month, which is lower than our guidance for this quarter, mainly due to lower spend on the clinical studies. Our cash position at the end of this quarter was -- in the end of this quarter as well at the end of December was SEK 77.5 million, which had been stressed due to our rights issue in the fourth quarter that we will shortly talk more about. Well, one thing to point out is the end of this year, the parent company, which is the Swedish legal entity, converted its internal loan, which has to the U.S. legal entity into capital contribution. On a group level, everything will be eliminated in the books. But the background to this action is to reduce the exchange fluctuation in the comprehensive income that you can see from the previous interim reports. We can move over to the next slide. Thanks. During the fourth quarter, we successfully completed the rights issue of SEK 100 million before fees and issue costs. The rights issue was granted to 100% and existing shareholders subscribed by 88% in this rights issue. We are very happy to have so many existing shareholders that was participating in this share issue. After all the fees issued costs and also repayment of the bridge loan, the total cash injection from this rights issue was SEK 69.8 million, which we are super happy about. This gives us a cash position to last through the third quarter 2026, so we can launch the PancreaSure as planned and run the clinical studies needed to support reimbursement. So thank you, everyone. And over to you, Jeff.
Jeff Borcherding: Thanks, Adam. As we transition to questions, I just want to summarize a few key points from the fourth quarter. The first is that we are pleased with the commercial adoption of the PancreaSure test. We continue to make progress on moving towards reimbursement and that will be driven by our clinical studies as we continue to move from the focus on driving adoption among the high-risk surveillance centers. Again, that will be our focus in the early part of 2026 and then transitioning to a greater focus on building volume later in the year and then on building revenue as we move into 2027. So we're eager to answer questions and have the chat feature available for that as well as questions that can be answered through the phone call.
Operator: [Operator Instructions] The first question comes from the line of Niklas Elmhammer from Carlsquare.
Niklas Elmhammer: I have a question about Medicare, Medicare coverage. Encouraging to hear that about the time line for the submission. But if I understand it correctly, the basis for the submission is sort of real-world data on clinical utility. So I mean, is that what you're collecting right now? How much data do you need? How many patients that sort of.
Jeff Borcherding: Sure. So if you look at the initial application to Medicare and the clinical utility data that will be included in that, it will primarily be survey studies. So we are conducting those now, and those are very quick to complete. So what we will do is we will use that data to submit to Medicare and essentially get their review started. Then we will submit to Medicare as we get additional data for example, as you noted, from the registry study. So that data will come in throughout 2026. So in the second half of the year, we will submit data from that registry. We are targeting having about 400 patients in the registry study this year. We've also got another clinical study that we're conducting right now that will look at how early we can detect pancreatic cancer before it's detected by imaging, which is another measure of clinical utility. So it's sort of a collection of data that we'll use to submit to Medicare. But one of the important things is that we will submit data with that initial submission. We will then build on that as we get additional data. We'll submit that data as it comes in.
Niklas Elmhammer: Okay. Great. And I think a couple of quarters ago, you said that you targeted Medicare reimbursement by the end of '26. I mean, I understand that maybe that is a sort of outdated comment and you're explaining right now, will be sort of rolling submission. Is it a reasonable target to see reimbursement by year-end? Or is it into '27?
Jeff Borcherding: Yes. So I think what we'll see is that we will see some reimbursement for particularly Medicare Advantage patients in 2026. I mentioned that we'll begin billing them or we have begun billing them this month. And so we do expect to start seeing the reimbursement this year. But in terms of the full coverage that would lead to reimbursement of every test at that full rate of $897 that will be something that we expect to come once Medicare has reviewed our submission. And so the timing for that really depends on Medicare. They're in a position where they can review submissions as they come in, but they also prioritize those that they see as important. So we're certainly hoping to get one of those priority spots.
Niklas Elmhammer: Okay. Great. And you mentioned the importance of regulatory state approval, for example, California. Could you please elaborate a little bit on the sort of regulatory environment for the states? I mean, which states do you have approval and where would you sort of seek approval? Do you need approval in every state?
Jeff Borcherding: Yes. So ultimately, we will need approval in every state. We now have approval in 48 states. So we are -- and really the one that is outstanding that will really drive the business is New York. So we would expect that by -- certainly by the end of the second quarter and most likely in the next month or 2, we should have approval in all 50 states. In many states, approval is pretty straightforward. California's application process is more extensive. And then New York approval is really the most extensive by far. New York does a very thorough review of not only our lab, but the test itself and does an on-site inspection and essentially does a review that's, in many ways, pretty comparable to what the FDA does. And so we're excited to have that approval here shortly.
Niklas Elmhammer: Okay. And as you mentioned in the report, cash flow was better than guidance. Are you willing to provide any guidance for 2026?
Jeff Borcherding: I think that we would expect that our cash flow would return to the levels that we've previously guided to. So more like that SEK 8 million to SEK 10 million per month target that we've set previously.
Niklas Elmhammer: Okay. And also maybe a little bit detailed questions, but regarding sales, is it possible to comment on the realized pricing per test, which, of course, is currently lower than what you would expect long term?
Jeff Borcherding: Yes. It's a great question, Niklas. At this point, we don't really have enough data to speak about the realized average selling price per test just because of the delay in getting reimbursement, whether that is payments from the patients themselves or from payers. As I mentioned, we're just starting that process. So it will take us a while before we're able to give you an estimate of what that average selling price will look like before we get full coverage and reimbursement.
Niklas Elmhammer: All right. And that's fair. And regarding orders, you mentioned that 12 centers ordered test through year-end, I believe.
Jeff Borcherding: Yes.
Niklas Elmhammer: But I guess you have not billed all of those orders yet?
Jeff Borcherding: That's right. Yes, that's right.
Niklas Elmhammer: So it's... Yes. Okay. So those, for example, 180 orders from Colorado and UC Health, I mean, are those been billed in Q4 or I guess not?
Jeff Borcherding: It would be a mix. So generally, we would probably have sent bills for most of those, but it will take time to get payment on those bills.
Niklas Elmhammer: Okay. Yes, I think that was all from me for the moment.
Operator: [Operator Instructions]
Jeff Borcherding: I'm sorry, please go ahead.
Operator: Ladies and gentlemen, there are no more questions over the phone at this time. I would now like to turn the conference over to Jeff Borcherding for any written questions.
Jeff Borcherding: Thank you. We have some questions through the chat feature. So I'll review those. How will the utility data generated after 2026 be used if the application to Medicare has already been sent in mid-2026. And I think this question came in before Niklas' question. But just to clarify, once we make the initial submission to Medicare, we are able to augment that submission with additional data that comes in later. In addition, those clinical utility studies will be really critical for the commercial payers outside of Medicare. Oftentimes, there are commercial payers who have different requirements and stricter requirements for the type of clinical utility data that they require. And so that's part of where those studies will really add value. The next question was, can we expect meaningful revenue in the second quarter of 2026. I think what we would say is that the meaningful revenue does not come in the first half of this year. We see the first half of this year as really being the time where it's about bringing centers into the franchise and getting them to start using the PancreaSure test. As we move into the latter part of 2026, we will start to be more focused on volume. It's really in 2027 that we see significant revenues being possible. But as I mentioned, we are going to be billing insurance companies this year with the goal of generating some revenue even though we don't have those formal coverage decisions in place that will ultimately generate the much more significant revenue in the future. Another question, where do things stand with a potential commercialization partner? It's been a busy couple of months. I've met with about a dozen potential commercialization partners since the beginning of the year. Those discussions are ongoing and positive. A couple of things that we hear from potential partners is they're very impressed with our clinical data, and they've been impressed by the level of interest that we've seen from these high-risk surveillance centers. They know that it's not easy to sell a new test to these academic medical centers because they have high demands for data quality. They have high demands for product performance. And so they've been pleased with the results that we've shown so far. I think the other thing that we've heard, in fact, I heard it from at least 3 different partners was how impressed they are with the rapid progress that we've made. One of them said, essentially, we meet about every 6 months. And every time we meet, you come in with a list of milestones that the company has achieved and the milestones that are coming for the next 6 months. And then when we meet 6 months later, you just have routinely delivered against those. So he was very complementary of the Immunovia team. So those discussions are ongoing. I will say these agreements are complex. They do take time. And so we're focused on making sure that we have a large number of prospects that are in our target group. We want to make sure that in the meantime, we're really showing them the commercial demand for PancreaSure, and we're outlining that road map to payer coverage. And then we want to make sure that we secure a structure that's attractive to our shareholders. Certainly, we want a deal, but we want to make sure that it's the right deal. One of the questions was, you have the billing code and the 897 rate. What necessary triggers do you identify before Medicare starts paying for the test? And when do you expect to file? Again, I think this might have come in before we discussed this. But 2 of the 3 steps are complete. We have that billing code. We have the reimbursement rate. The coverage determination will be based on the clinical data we submit. And so we are going to submit for coverage in mid-2026 with that clinical utility data that I mentioned, and we'll continue to do that through the review process itself. Having said that cash runway is through Q3 2026, what is the plan to survive spendings until 2027? So as we think about our cash position and what we want to do, we know that additional capital will be needed. So how do we manage through that? So I think most importantly, from an operations standpoint, that means continuing to focus on being really efficient in the way that we use capital and focusing on achieving the milestones that are going to create value. If you ask, how are we going to fund the company, where is that capital going to come from? We are looking at a wide range of options to secure the capital that we need. And we're trying to do that in a way that would minimize dilution. So we are pursuing grants and other support from nonprofit organizations, government groups who would provide capital that's non-dilutive. I mentioned the conversations that we're having with strategic partners, and we're also talking with them about different types of cash infusions that they might make into Immunovia. That could be equity investments or it could be things like milestone payments or payments to collaborate with them on projects. Knowing that an equity raise is likely needed, certainly, we strongly prefer a directed issue in order to reduce the fees and really reduce the dilution that we know comes with rights issues. And so we're actively working to achieve this and trying to develop relationships with investors who would directly invest in the company. Just waiting for any other questions. It looks like what might be the last question here. You mentioned hiring the 3 salespeople. What does that change? I think we'll have the strategic account managers focused in 4 areas, and those are where you'll see the biggest changes. The first thing is adding more prospects to the pipeline through outreach and their existing relationships. The second is moving prospects through the pipeline faster. The third will be, again, sort of working to integrate PancreaSure into the protocols. And then I mentioned earlier this idea that they're going to help us get deeper into the surveillance center teams so they can develop relationships with a lot of those different individuals beyond just the overall leader of the program. And I think that might be it for questions unless there are others. Okay. Thank you very much for joining us today. We appreciate your time. We appreciate your interest in Immunovia and look forward to continuing to share additional information as we bring the PancreaSure test to more and more high-risk surveillance centers across the U.S. as we bring PancreaSure to more people who are at high risk and as we continue to pursue reimbursement through our clinical program and our market access activities. Thanks again. Take care. Bye.